Operator: Good day. And welcome to the CubeSmart Fourth Quarter 2019 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Josh Schutzer, Director of Financial Analysis. Please go ahead.
Josh Schutzer: Thank you, Sean. Hello, everyone. Good morning from Malvern, Pennsylvania. Welcome to CubeSmart's fourth quarter 2019 earnings call. Participants on today's call include Chris Marr, President and Chief Executive Officer; and Tim Martin, Chief Financial Officer. Our prepared remarks will be followed by a Q&A session. In addition to our earnings release, which was issued yesterday evening, supplemental operating and financial data is available under the Investor Relations section of the company's website at www.cubesmart.com. The company's remarks will include certain forward-looking statements regarding earnings and strategy that involve risks, uncertainties and other factors that may cause the actual results to differ materially from these forward-looking statements. The risks and factors that could cause our actual results to differ materially from forward-looking statements are provided in documents the company furnishes to, or files with, the Securities and Exchange Commission, specifically the Form 8-K we filed this morning together with our earnings release filed with the Form 8-K and the Risk Factors section of the company's annual report on Form 10-K. In addition, the company's remarks include reference to non-GAAP measures. A reconciliation between GAAP and non-GAAP measures can be found in the fourth quarter financial supplement posted on the company's website at www.cubesmart.com. I will now turn the call over to Chris.
Christopher Marr: Thank you. And good morning. We reported a solid quarter yesterday and a continuously challenging operating environment. Throughout the year, in spite of the internal growth headwinds caused by the ongoing impact of new supply, we generated growth in our funds from operations through expansion of our third-party management program, the utilization of joint-ventures, the lease-up of our non-stabilized portfolio and successful capital raising in both the debt and equity markets. 2020 will be a year of transition, as our industry absorbed the new supply delivered over the last several years. Our outlook for the future remains positive, as our current supply data for our top 12 markets points to 2019 being the peak year for new deliveries, markets that experienced the impact of new supply early in the cycle are seeing a solid slowdown in expected future deliveries. In New York City, we expect deliveries to taper off through 2020 and those expected deliveries are increasingly in submarkets where they will not directly compete with an existing CubeSmart store. Looking ahead, factoring in our ongoing innovations and technology, pricing and marketing, as well as assuming our current supply outlook holds and no downturn in the U.S. economy, the deceleration in our same-store revenue growth should begin to stabilize in the latter half of this year and we are cautiously optimistic about a gradual strengthening of fundamentals in 2021. I'll now turn the call over to Tim Martin to walk through our information in more detail. Tim?
Timothy Martin: Thanks, Chris. And thanks to everyone on the call for your continued interest and support. As Chris touched on our fourth quarter results rounded out a busy and successful year across many fronts. Same-store performance included headline results of 1.6% revenue growth and 4.6% expense growth yielding NOI growth of 0.4% for the quarter. For the full year, same store revenues grew 1.9%, expenses grew 4%, leading to NOI growth of 1.1%. Average occupancy in the fourth quarter was 91.7%, up 10 basis points year-over-year and quarter ending occupancy was also up 10 basis points closing out at 01.2%. Same store expense growth for the fourth quarter was in line with our expectations. Property taxes were again this quarter a large component of the increase in overall expenses up 5.1% over last year. Our marketing spend increased 22.1% in the quarter and our property and casualty insurance costs were up again following our annual renewal back in May. We reported FFO per share as adjusted of $0.42 for the quarter, which was at the high end of our guidance range. For the year, our reported FFO per share of a $1.69 was a 3% increase over 2018. We remain active and disciplined in our pursuit of external growth opportunities. During the fourth quarter we closed on the purchase of five properties for 59 point – excuse me, $57.9 and that brought our full year acquisition activity to 29 stores for $246.6. During the quarter, we also completed the sale of one store in Texas for a total sales price of $4.1. On the third party management front we finished off another productive year by adding 46 stores in the fourth quarter, bringing our 2019 total to 199 new stores added to our program. We ended the year with 649 managed stores, allowing us to enhance our market position and expand the CubeSmart brand. On the balance sheet, we continue to focus on funding our growth in a conservative manner that's consistent with our BBB, BAA2 credit ratings. We did not issue any shares under our aftermarket equity program during the fourth quarter. For the year, we raised $196.3 million of proceeds, selling shares at an average price of $33.64. In October, we accessed the public debt markets issuing $350 million of 10 year unsecured senior notes with a 3% coupon. Our bond deal in the fourth quarter continues to demonstrate our commitment to utilizing the fixed income market as a primary source of capital to fund our growth and was and - was our second bond issuance of 2019 bringing our total to 700 hundred million of new issue during the year. In addition to our 2019 ATM activity and bond issuances, you'll recall that we extended and expanded our unsecured revolver earlier in the year to $750 million. All of this activity further strengthened our balance sheet as we closed out the year and at year end, we had only 3% of our debt maturing in 2020 and ‘21 combined, a weighted average years to maturity of 6.4 years. We had no floating rate debt, less than 2% secured debt to gross assets and leverage and coverage metrics that have us in a very strong balance sheet position with significant liquidity. In December, we announced a 3.1% increase to our quarterly dividend bringing our dividend to a $1.32 per share on an annualized basis and based on the midpoint of our 2020 guidance the increased dividend suggests an FFO payout ratio of 78.1%. Details of our 2020 earnings guidance and related assumptions were included in our release last evening. Our 2020 same store property pool increased by 11 stores, thanks to our revenue guidance assumes little impact from occupancy and is again overwhelmingly driven by expected growth in net effective rates. Consistent with prior years our forecasts are based on a detailed asset by asset grownup approach and consider the impact at the store level if any of competitive new supply delivered in 2018 and 2019, as well as the impact of 2020 deliveries that will compete with our source. Embedded in our same store expectations for 2020 is the impact of new supply that will compete at with approximately 45% of our same store portfolio. So from a trend line perspective you'll recall that in 2017 we had 25% of same stores impacted by supply. That grew to 40% in 2018 then grew again to 50% in 2019. So at 45% for 2020 we're starting to see signs of a lessening impact from new supply as we move forward. That said, obviously the impact of new supply the operating fundamentals are still being felt, the impact to an individual store facing new competition and its competitive trade rank can range based on many factors. But overall, we expect a group of stores impacted by new supply to have revenue growth 200 to 300 basis points lower than the stores that are not impacted by new supply. Our newly developed stores and acquired stores and lease up continue to make progress from an occupancy standpoint, in line with our expectations. We believe our development pipeline and non-stabilized store acquisitions will create meaningful and NAV growth at stabilization. But of course in the short term those investments create a drag to our FFO per share. Our FFO guidance for 2020 is impacted negatively by $0.07 to $0.08 per share as a result of this delusion. You'll note that the dilution in 2020 is down about $0.02 per share compared to 2019, as stores are leasing up and less has been added to our development pipeline. Our guidance includes the impact of acquisitions we've closed to date or have under contract but does not include the impact of any speculative acquisition or disposition activity, as levels of activity and timing are difficult to predict. Thanks again for joining us on the call this morning. At this time Sean, why don't we open up the call for some questions.
Operator: Thank you. [Operator Instructions] Our first question today will come from Shirley Wu with Bank of America Merrill Lynch. Please go ahead.
Shirley Wu: Hey. Good morning out there.
Christopher Marr: Good morning.
Shirley Wu: So the first question is on revenues. So in 4Q your core revenues were up 10 basis points quarter-over-quarter sequentially. But your core guidance implies 140 bps [ph] of deceleration into next year. So I'm just trying to get a little bit more color on whether what happened with that 4Q number whether that indicates stabilization or that continue deceleration on top line and what you're seeing in 1Q year-to-date in terms of demand to indicate one or the other?
Timothy Martin: I'll start with the with the top line growth rate. Thanks for the question. It is a - as we've been discussing - we spoke about a lot at meetings at NAREIT and on prior calls. As we get deep into – into the development cycle there's obviously a big focus on growth rates year-over-year. And the reality is our expectation as we get here and think about the trough and impact on top line growth you know, being at least in sight is that we're not going to see a clear inflection point likely in our portfolio and likely in others to where you get to a point and you see reacceleration and from there it grows in a linear fashion. We don't expect it to be a linear – the growth rates into 2020 to be in a linear fashion. I think it'll bounce around a little bit. I think early in 2020 we could see some positive impact and then I think our expectation is you would see growth rates flatten out in the back half of 2020.
Christopher Marr: And Shirley, I think your second question was along the lines of what we've been saying so far this year in 2020 from an operating perspective and you know the answer is, it continues to be very encouraging and positive performance from a physical occupancy perspective. As we sit here today, our occupancy gap to last year is in the plus 30 basis point range. So we have seen - we've seen good demand for what is traditionally kind of a slower part of our industry a year. And that continues however to be you know, with its challenges from a pricing perspective given all of the new supply that we've talked about ad nauseam. So it's encouraging as we start to see the beginnings you know, over the horizon for the busy rental season that if we can head into that with some good occupancy performance here in the slower times that is an encouraging sign as we get into the busy rental season, both on overall performance, but certainly also from a pricing perspective. But we've got another month or so to go before we can have more confidence in that.
Shirley Wu: Got it. That makes sense. And so pivoting to the expense side. So your marketing expenses did go up 22% this quarter, which was a little bit surprising. So I was just curious as to what you're seeing on the marketing side, as well as your expectations for 2020?
Christopher Marr: Sure. So it's obviously a very competitive playing field across the industry, you've seen significant growth in marketing costs across the industry, as we have a significant amount of vacancy across the industry to fill. We found opportunities in Q4 to productively spend and generate what we would consider to be an acceptable return on that expenditure in terms of the lifetime value of our customers. As we head into 2020 embedded in our overall same store expense expectations and Tim can provide more detail, we would continue to expect to spend aggressively in marketing, again assuming that we can - that we can deliver that customer at a reasonable cost and that range could be plus or minus in kind of the growth you saw in Q4 and we could see that continue on through the next couple of quarters here in 2020. Tim any additional color you want to provide there?
Timothy Martin: No, I think that's right. I think the levels that we've seen in the fourth quarter overall is about plus or minus where we would expect the marketing expense line item to be. In 2020, again, not all that dissimilar to my commentary on the top line growth, it's going to bounce all over the place based on what we did in 2019 and opportunities that we find in 2020. As we as we enter the year, I would expect - I would expect the second and third quarters just from a comp perspective to have the highest growth rates and marketing spend and the first and fourth quarters to be - certainly the fourth quarter be a little bit lower as we ramped up spend here in the fourth quarter of ’19, the comp will be a little bit different than the balance of the year.
Shirley Wu: Got it. Thanks for your time, guys.
Timothy Martin: Thank you.
Operator: Our next question will come from Todd Thomas with KeyBanc Capital Markets. Please go ahead.
Todd Thomas: Hi. Thanks. Good morning. First question just following up on the same store guidance, so it sounds like you expect growth to improve earlier in the year with I guess growth in the first half being higher than the second half. Is the second half deceleration that you see in the models, it that more rate driven or would you expect occupancy to be a little bit more pressured?
Christopher Marr: It's all on the opposite side. I think part of what makes the - everything bounce around is its rate and it's the nature of how we achieve the effective rate, given pricing strategies both in the comp period in 2019 and then pricing strategies which are yet to be determined as the year plays out in 2020. That oftentimes is what creates some of the - you know, the volatility and growth rates bouncing and bouncing around a little bit.
Todd Thomas: Okay. And can you just – I appreciate the comments on New York City a little bit, but just in terms of the overall same store forecast, can you just comment on how you know, New York and also maybe Miami and Chicago you know sort of fit into that, you know, those Miami and Chicago both saw sequential improvements as well. I'm just curious if you expect to see continued stabilization there in those markets?
Christopher Marr: So if you look at – Todd, if you look at everything relative to our overall portfolio same store guidance for 2020 on the revenue line, we would expect the New York MSA, and really even just the individual boroughs collectively to perform in line with the range of expectations we've provided for the overall pool. I think the pressure in the New York MSA for our portfolio is likely to be a little bit more pressure in the suburbs. So North Jersey is seeing supply, Westchester and Long Island are seeing supply and I think that's sort of natural outgrowth of the fact that the opportunities in the boroughs have largely been taken advantage of the change in the – and the opportunities on legislation has removed about half the available square footage for stores to be built in the borough. So folks are moving out into North Jersey and Long Island. So, again in general I think New York will be in line with the same store expectations. Miami, the markets that saw supply early in the - early in the cycle Miami, Chicago, Dallas you know, generally speaking I think will perform better in ‘20 than ‘19 you know, by and large and I think again perhaps towards the higher end of our expectations for the same store portfolio as a whole. Those markets that have yet to see supply, particularly in California, we would expect to outperform in terms of the same store expectations taken as a whole. I think again we continue to see limited new supply in the markets in which we operate in California. And you know, barring the impact of the of the split roll on the ballot here in November and in terms of its impact on real estate taxes and again for our portfolio we certainly expect that to be a much lesser impact than it would for many of our peers who have a lot bigger problem there than we will. I think California will continue to outperform and you know, the markets in Florida, outside of Miami you are seeing some impact of supply in a more material way from Tampa, all the way down to Naples and I would think those would be some markets that would underperform in 2020.
Todd Thomas: All right. That's helpful. And just one last one, in terms of the $0.07 to $0.08 of dilution from lease up properties that's embedded in the guidance. Does that include any additional investments in 2020 and can you comment on the appetite for doing additional development here or adding projects to the value creation pipeline?
Christopher Marr: Yeah. The $0.07 to $0.08 dilution that's included in the guidance does not contemplate any speculative activity. And so - then second part of your question, what is our appetite? We e are consistently looking for the best opportunities to grow our footprint and make attractive investments on a risk adjusted basis. I think that certainly what you've heard from some of our peers, we would we would echo in that the - the market for stabilized broker transaction is pretty aggressive. And so those yields are awfully tight. We're not seeing a tremendous amount of distress or despair, but certainly there's going to be continuing interest and likely an accelerated interest of folks that have participated in this development cycle and have stores that are in some form of early stage lease up. And if those opportunities present themselves at attractive risk adjusted returns, we’ll continue to be focused on underwriting them and to the extent that they make sense for us we'll be opportunistic.
Timothy Martin: And Todd, just to add on that, when you think about where we've been willing to take development risk, you know, principally New York, Boston, Washington D.C. There's nothing on the radar near term that would pencil out attractively that we're pursuing at this time.
Todd Thomas: Okay. Thank you.
Timothy Martin: Thanks.
Operator: Our next question will come from Jeremy Metz with BMO Capital Markets. Please go ahead.
Jeremy Metz: Hey, guys. Good morning. Tim, sorry if I missed this, did you say yet or can you give us an update on effective rents and how they trended in the fourth quarter and what sort of trends you're seeing so far here in 2020?
Timothy Martin: Jeremy, thanks for the question. I'm going hit my cough button. Let Chris take that on.
Christopher Marr: Tim is struggling a bit here, we're hoping not with the coronavirus. The effective rents both in Q4 and so far, this year in 2020 are mirroring what we saw basically throughout the year. Positive in those markets I talked about that haven't seen supply, a little bit less negative. And seeing some green shoots in Austin, Dallas, Houston even Denver, Chicago and then you know seeing the pressure in Boston, in South Florida, particularly on the West Coast, in Brooklyn, a little bit better in the Bronx than what we've been seeing, you net it all together and effective rents are down, give a range of you know 2.5% to 5% overall what we would have seen in Q4 ‘18 versus ‘19 and basically in about that same range thus far this year.
Jeremy Metz: That's helpful. And on the expense side taxes in particular, this has been you know a multi-year reassessment cycle, it's obviously caused meaningful pressure on that line item. Just where we add in that process you know, what's embedded in 2020? Is it another kind of 5% type of increase and you know how does that impact your outlook going forward here as we kind of move beyond?
Timothy Martin: Hey, Jeremy. It's Tim. So thinking about real estate tax expense, if you think about the trend line here over the last couple of years for our same store pool in ‘17 Texas grew a 4.3%, ’18, 7.1%, ’19, 5.4%. And so obviously we've been on a trend line of above inflationary increases. As you're well aware our expectation for 2020 is we're still in that range, somewhere in the 5% to 7% range is our expectation for increase in real estate taxes for 2020 for the same stores.
Jeremy Metz: And do you see it getting better as we look a little further around?
Timothy Martin: Yeah, when we talk about that a lot of the meetings and I think it's one of those interesting questions because the pressures on real estate taxes are coming from the fact that while NOI growth is decelerating from our peak levels, you know, back before the development cycle started, we're still seeing growth in NOI, which contributes to higher property values and higher asset values. You're also seeing cap rates, if they're moving, they're compressing tighter, which also gives further evidence and ammunition for taxing authorities to increase assessed values. So you know, it's one of those things, but to some extent that it's - be careful what you wish for, question, because the time at which we have the ammunition to go back and challenge and try to get tax assessment – you know, assessed value is reduced, we're not going to be talking about real estate taxes, we're going to be talking about why cap rates are going up or why are going down. And so I don't see anything in the near term here and by near term I would say one, two, maybe even three years out, that would lead me to believe that there's a lot of evidence that real estate taxes are going to get back even to inflationary type increases. I think you're still looking at probably 3% to 5% type increases over the next couple of years that doesn't - that doesn't mean that we're not going to aggressively challenge them and look for opportunities to offset that through challenging the assessed values and hopefully being successful on some appeals.
Christopher Marr: And obviously all this excludes California, because what's going on out there would obviously change the game.
Timothy Martin: That's right.
Jeremy Metz: Yeah. Helpful. And last question for me. Chris, as we think about supply and your comments on it tapering off, how much of this is a shift down in capital looking to invest and developers really leaving the market versus major markets being more saturated at this point, so less optionality and capital generally just shifting out in the secondary markets where relative to your footprint it's clearly not as impactful but perhaps where the opportunity remains?
Christopher Marr: Yeah, I think that's a great question. I mean, I think it's just a very nuanced combination of all of the above. When you think about my commentary about some of the North Jersey and Long Island development, it's a mix. It's folks who may have started by looking in more urban markets, more of the boroughs. Finding out that things aren't penciling there or the opportunity is too challenging and so they sort of move to the bordering opportunities. You also then have folks who you know look at the data on the supply relative to population, population growth et cetera and look for opportunities in those North Jersey and Long Island markets who are “out of towners” You don't usually have folks who - you know, who will shift from a North Jersey focus to deciding they're going to focus in Des Moines Iowa. It usually doesn't operate that way. Now for those who are market agnostic, I would think they are starting to and we're seeing the third party program, they are starting to look at the - you know the more secondary markets, those markets that may have not experienced the impact of supply and exploring some opportunities there. To be fair, we don't spend a lot of time digging into that data or trying to assess that because of those stores are a third party opportunity for us. But other than that they won't impact our own portfolio very much. So again, I think there are - there should be some levels of supply being delivered you know, in ‘21 and ‘22 assuming the economy remains healthy. I would suspect you would see that start to move into the more secondary markets and away from the top 10 MSA in the U.S.
Jeremy Metz: Thanks for the time.
Operator: Our next question will come from Smedes Rose with Citi. Please go ahead.
Smedes Rose: Hi. Thanks. I just wanted to ask for your - the way you define the New York City portfolio, what percentage is actually in New York City versus in the suburbs roughly?
Christopher Marr: From a percentage of NOI, and again we have some things that will come online this year and aren't stabilized yet, but plus or minus 14% of the NOI comes from New York City itself.
Smedes Rose: Okay. And the rest of it would be more sort of surrounding areas?
Christopher Marr: The rest of it is the balance of the MSA which is - yeah principally West Chester, North Jersey and Long Island.
Smedes Rose: So that's why you would see New York being in line with the overall portfolio, I guess because it's really weighted for outside of the city where you're seeing all this new supply?
Christopher Marr: We are seeing we are seeing a greater impact of new supply in ’20, in terms of just 20 expected deliveries in North Jersey, Long Island and Westchester than we are in the boroughs themselves.
Smedes Rose: Okay. And then I just want to ask you in terms of just pricing strategies in markets where you're maybe seeing or have seen peak supply now, is there any kind of change in the way you think about - it more maybe occupancy driven, so lowering asking rates to get folks in or maybe more discounts or how is the sort of strategy change versus maybe other markets…
Christopher Marr: Yeah. There are really two schools of thought that we see in the industry. You have model A which is really draconian reductions in market rate for the customer coming in. I'm not talking about months free, although we are seeing some folks go with a 50% off the first three month type concept or even multiple months free. But it's generally more you know a pretty dramatic cut in the actual rate on the lease in order to gain that occupancy early on in the lease up. The other model is our preferred model, which is a healthier balance between asking rate and any sort of incentive. And the reason is it's just impossible mathematically to get that customer who comes in at 40% or 50% below the existing street rate for the competitor properties to ever imagine a path other than just a very difficult customer relations move where you're giving somebody the bait and switch and saying move in at $50 and 30 or 45 days later you're raising their rent to $100. It's just impossible to ever get them back to market. So we continue to prefer an approach that is a more gradual lease up at higher effective rents. And again, all of our models would tell us for the long term investor that's going to produce the best IRR on that particular development. Now if your motivation is to sell the assets within 18 to 30 months you may have a different a different view which is I want to get some customers into the cubes and then I'm hoping the greater fool theory [ph] will play out and I can convince a buyer to pay me for the opportunity to try to get those in-place customers back to market over some period of time. But that's basically the way your question sort of operates within markets.
Smedes Rose: Okay. Thank you.
Christopher Marr: Thanks.
Operator: Our next question will come from Ki Bin Kim with SunTrust. Please go ahead.
Ki Bin Kim: Thanks. Just going back to your comments about the acquisition markets being tight. You've seen some of your peers go into international markets like Canada or possibly Australia. You think your peers do like bridge loans or preferred investments. What are you guys thinking internally about your excellent growth opportunities?
Christopher Marr: We think we have an awful lot of opportunity here domestically and in more traditional, in more traditional means, looking at Ideally for us on a risk adjusted basis if it's attractive you know, first on the list would be a an open operating stabilized store at an attractive return, because the risk profile relative to any other opportunity is much lower. Those are challenging opportunities to find today. Where we do think we'll start seeing more opportunities is something that has a little bit of hair on it, which is in some stage of lease up and coming out of the development cycle getting on the tail end of it here. There's a tremendous amount of opportunity. It may not present us a lot of opportunity in 2020, but I think it will certainly present a lot of opportunity for consolidation here in the next two to three years.
Ki Bin Kim: Okay. And have you noticed any incremental changes to customer behavior, whether that be a response to rent increase letters or just shopping more for price before they move in for a new customer. And maybe that's reflected in things like that time they found your website versus previous years?
Christopher Marr: No significant change in customer behavior, when we think about health, we think about you know, are they paying their rent on time. How do we see trends in defaults and auctions, all of those metrics have been - have been very consistent over the last many quarters? Certainly the shift we see in all sectors retail, et cetera from desktop to mobile is real and the ability for that customer on a mobile device to be able to simply and quickly price shop is real. Typically our customers tend to look at three options, three providers within their trade ring. That hasn't changed over the last many quarters. The amount of time they're spending at the margin is shrinking. But I think that just goes to the gradual maturing of our industry and our product, our customers are just getting more and more used to shopping online in general, more used to shopping on a mobile device and then more comfortable with our industry's product and how to use it.
Ki Bin Kim: Okay. Thank you.
Christopher Marr: Thanks.
Operator: Our next question will come from Jonathan Hughes with Raymond James. Please go ahead.
Jonathan Hughes: Hey, good morning, Chris, thanks for your comments on revenue growth outlook in the year and the next year. I think you said street rates are down 2.5% to 5% today, where do you expect that rate gap to be by year end in your revenue growth outlook? Is it flattering as burn off of promotions on the existing tenants largely getting you to that slowing deceleration in revenue growth by year end?
Christopher Marr: Jonathan, I'll start with a clarification and then I'll turn it over to Tim. Not street rate, street rates. Again, what we're asking face rate for that customer to come in are all over the place and I would think across the portfolio likely a little bit higher right now than they were at this point last year. The question that I was asked was just effective rates, when you look at any sort of Internet concession, along with any sort of free rent whereas that net. And that was the number that I had given and I'll ask Tim to sort of address the nuances of that…
Timothy Martin: From a nuance perspective Jon, we don't guide to the individual components of the revenue growth, primarily because they're going to bounce all over the place as well. So the pricing - the pricing system is going to - is going to own a property by property, unit by unit basis trying to maximize revenue and at times that'll be driving a little bit more from a volume perspective or occupancy perspective, discounts is going to move all over the place depending on what’s the most effective tool at the time. And so we - overall, I think the trend line is likely to be similar to what I described in overall trends in revenue growth. And so I think as overall revenue growth flattens out year-over-year in the back half of the year, I think that's likely to be the trend in net effective rents as well.
Jonathan Hughes: Got it. Have you looked at increasing the magnitude or frequency of renewal rate increases, since existing tenants are seemingly stickier than ever as a way to offset those weaker effective rates you just mentioned?
Timothy Martin: And that's something that we have been focused on for a very long time. And so I would echo your statement that things are as sticky as ever. And so if they were sticky four years ago we believe that our systems were maximizing the ability to push at the appropriate - at the appropriate time, at the appropriate volume to maximize the impact that we can achieve from great increases to existing customers in a way that doesn't impact move out rates in a way that becomes negative. And so I think to a large degree, we continue to try to find efficiencies on the margin. But from an overall big picture approach standpoint, I think we've been pretty aggressive for a pretty long time.
Christopher Marr: And I think those industry operators who you know, would generally be considered best in class have for some time now recognized that the low hanging fruit from years back on the existing customer base thinking about how they may react, using technology and systems to test varying options, being sophisticated about how we use the data that we have to pass along increases or not and at what rate and when to the existing customers, looking for ways to use technology to remove fat out of the operating expense lines and create a more lean process. You know, the reality is a lot of that has been done over the last several years and that sort of low hanging fruit for those of us who - you know we're certainly ahead of the curve or from a sophistication perspective that low hanging fruit is just not there.
Jonathan Hughes: Okay. Got it. And then just one more for me. Are you getting any pressure from any of these third party management owners to address the management fees? I know there was a big transition recently, but I've heard anecdotally that maybe some have been lowered by some operators to 4% to 5% of revenues just due to the increased competition out there. Any change you're seeing in that market.
Christopher Marr: Well, I think certainly you see - you see some folks who are trying to build scale and third party management being on the more aggressive side of what is market which feels appropriate if you were in any type of business that's what you would do. We have we have over 200 third party relationships and worked very hard to provide value for those customers. And I would say the overwhelming majority are happy with the economic arrangement they have, with the value that we can provide on the CubeSmart platform relative to the costs that they pay for the value that we're helping them create is a pretty good deal for them.
Jonathan Hughes: All right. That's it for me. Thanks for the time.
Christopher Marr: Thanks.
Operator: Our next question will come from Samir Khanal with Evercore. Please go ahead.
Samir Khanal: Chris, good morning. Can you provide some more color on Houston? I guess, do you expect that market to stabilize this year, maybe seen an improvement in revenue sequentially, but you're also spending a lot there. So any color would be helpful.
Christopher Marr: Sure. You know, Houston like all of the Texas markets has obviously been impacted by new developments, also been impacted by weather in a variety of other things. So we would expect that new openings in Houston will decline 2020 over 2019, not draconian lease [ph] So you're still seeing new supply being delivered, again it's a very significant top five MSA. So that's not - that's not unexpected. What you're seeing is that the stores are leasing up, occupancies are growing and we would expect relative to our overall guidance and again we only have 14 stores in Houston same store pool, that we would see positive occupancy growth in Houston. In 2020 relative to 2019, we do not expect to see a net effective rents flip positive. They are gradually getting better, but there's still an awful lot of pressure. And so when you think about where we would expect same store revenues in Houston on our 14 stores you know, relative to what we saw in 2019 going into 2020 we actually think the combination of some occupancy gains and some - and some lesser impact on net effective rent declines will produce a more - much more positive result for our portfolio in 2020 than we saw in 2019. I think long term you know, the question that I would have for Houston which is really not any different than the same question I've been asking about Miami, is are we going to see the ability for cities like that to transform themselves into 24 hour urban downtown cities. You know traditionally in Houston and Miami the downtown areas were where you went to work, it was doctors and lawyers, I'm sorry it was lawyers and accountants, no doctors, who were there during the day, they left and went home to the suburbs in the evening. So you're seeing a lot a lot of condo development and an awful lot of vertical self-storage development. So the question is for someone in Houston who - are they going to want to live in a condo in downtown and work there, what demographic is that going to be. And if it's an older demographic who want to be close to transportation and entertainment options, does that older demographic want to pay the 20 plus dollar rents that these stores need to achieve in order to meet their development yields or are they going to be perfectly happy leaving their possessions in the outside drive up store in the suburbs at a lower rent. I think over the next couple of years those two markets in particular are going to be interesting test cases on how the demographics of our customer may change.
Samir Khanal: Thanks for that. I guess shifting gears Tim, you know when I look at your guidance for G&A it was up - my math about 10% here and it's certainly higher than the quarterly run rate in Q4, just want to make sure I'm not missing anything there?
Timothy Martin: Yeah, I think it's up somewhere 8% to 9% and is reflective of us continuing to build out our teams and our systems as we've grown our platform by much more than 8% or 9%.
Samir Khanal: Okay, thanks for that.
Timothy Martin: Thanks.
Operator: Our next question will come from Ryan Lumb with Green Street Advisors. Please go ahead.
Ryan Lumb: Great. So ad spending in the quarter ticked up as you mentioned. Just curious if that was more of a volume of ads placed, I assume this is paid search. And the number of ads online or if this is a price inflation cost per click inflation?
Timothy Martin: Yeah, it's a combination of the two, but more heavily weighted towards spend for auction keyword. So how we would think about how much we're willing to pay and how long we are - what's the budget during the course of that day for those keywords drove the majority of the increase.
Ryan Lumb: Okay. And would you assume - you know, so the midpoint of expense guidance for ‘20 assumes an acceleration in expense growth for the year. Is that primarily driven by marketing or what are drivers there for expense growth next year?
Timothy Martin: Real estate taxes, real estate tax rates are the biggest, one we talked about earlier that's in the - you know, our expectations that's in the 5% to 7% range and then you're obviously seeing we have an expectation then that you know 20% to 30% type range for marketing expense growth throughout 2020 on average.
Christopher Marr: And then your last pressure point is personnel and certainly with the economy where it is very, very healthy, we're seeing - you know, we're seeing some pressure on hiring as well.
Ryan Lumb: Okay, great. Thanks, guys.
Operator: Our next question will come from Michael Mueller with JPMorgan. Please go ahead.
Michael Mueller: Yeah, hi. I guess, looking at your acquisition guidance for the 75 to 150, you talked about different types of investments, whether it's stabilized or low cap rate or maybe value add. What are you contemplating in that range, I'm assuming it's probably not the fully marketed low cap rate stabilized transactions, but is it properties where you're going to have a very low going in yield or you're looking for something with an immediate yield? How should we be thinking about that?
Timothy Martin: Thanks for the question and welcome to our earnings call. The guidance that we provide is more of an indicator as we're entering the year from a big picture standpoint, where do we think volume of opportunities are likely to present themselves. The impact of any speculative acquisition activity is not in our FFO guidance. And the reason it's not because the answer to your question is very, very difficult. We're not targeting necessarily any particular type of acquisition. We're targeting attractive risk adjusted returns and if we don't find any, we won't buy anything. If we find $500 million worth of attractive opportunities then that's what we'll do. And so you know, it's really difficult question to answer. It's going to depend upon what we can find on an attractive risk adjusted basis.
Michael Mueller: Got it. Okay. And then on the development front, what are you underwriting for a timeframe to stabilize the projects that opened in 2019 and are opening in 2020?
Christopher Marr: For the more reason, we would expect again given the strong demand profile that the physical occupancy, we still sort of look at first level of physical occupancy sometime between month 36 and month 45, depending upon the time of year in which they open. Given where rental rates are and then bringing those customers, we brought in up to market about another 12 months after that for true economic first level of stabilization.
Michael Mueller: Got it. Okay. That was it. Thank you.
Christopher Marr: Thanks so much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Chris Marr, President and CEO for any closing remarks.
Christopher Marr: Okay. Thank you everyone for participating in the call. Obviously, our business has some cyclicality to it in terms of our customers, but as I said we're encouraged with how the year has begun. We look forward to entering into the busy season with our team and our process and our systems raring to go, to take advantage of all of the opportunities that we believe will present themselves. And we certainly believe that it's a very bright future for self-storage industry and for CubeSmart. So we certainly appreciate you participating in the call today. We look forward to seeing many of you over the next couple of weeks, at the various industry events and we will speak to you again when we report first quarter earnings. Thank you.
Operator: This concludes today's conference. Thank you for attending and you may now disconnect.